Operator: Good day, everyone, and welcome to the USANA Health Sciences’ Third Quarter Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Patrique Richards, Executive Director of Investor Relations and Business Development. Please go ahead.
Patrique Richards: Good morning. We appreciate you joining us. Today’s conference call is being broadcast live via webcast and can be accessed directly from our website at ir.usana.com. Shortly following the call, replay will be available on our website. As a reminder, during the course of this conference call, management will make forward-looking statements regarding future events or the future financial performance of our company. Those statements involve risks and uncertainties that could cause actual results to differ, perhaps materially from the results projected in such forward-looking statements. Examples of these statements include those regarding our strategies and outlook for fiscal year 2020 as well as uncertainty related to the magnitude, scope and duration of the impact of the COVID-19 pandemic to our business, operations and financial results. We caution you that these statements should be considered in conjunction with disclosures, including specific risk factors and financial data contained in our most recent filings with the SEC. I’m joined this morning by our CEO and Chairman of the Board, Kevin Guest; our President, Jim Brown; our Chief Financial Officer, Doug Hekking; as well as other executives. Yesterday after the market closed, we announced our third quarter results and posted our management commentary, results and outlook document on the Company’s website. We’ll now hear brief remarks from Kevin before opening the call for questions.
Kevin Guest: Good morning, and thank you for joining us to review our third quarter. We reported strong results for the third quarter with record earnings per share and sales approaching $300 million. These results were driven by first, continued strong demand for our high-quality nutritional products, and second, successful incentive programs that were well received by our Associates. As a result, we also reported a record number of active customers for the quarter. We also successfully executed our all virtual Americas and Europe Convention and China National Sales Meeting during the quarter. This virtual platform allowed us to reach a larger audience than our in person only events while maintaining much of the camaraderie and culture of USANA. While, we look forward to being able to gather in person again, we learned a lot from these events and expect to leverage what we have learned in future – for future events. As noted in our earnings release, we are raising our full-year guidance to reflect our third quarter results and our expectations for the fourth quarter. All things considered, our 2020 results have been excellent during these unprecedented times, and I’m confident in the strength that we saw in this underlying business. We look forward to delivering further growth in 2021. With that, I will now ask the operator to please open the lines for questions.
Operator: Thank you. [Operator Instructions] We will take our first question today and that is from Doug Lane with Lane Research. Please go ahead with your question.
Doug Lane: Hi, good morning, everybody. Kevin, this is the second straight quarter of really nice upside expectations, but it’s really with literally half of your business. Can you talk about China and when you start to see the – any sort of acceleration there? We’ve seen stabilization and maybe a little lift in the third quarter from the second quarter, but not really the kind of traction we saw in 2017, 2018.
Kevin Guest: Yes, Doug. I think we’re still coming out of the effects of our 100-day issue that we had at all supplemental companies that had nutritional supplements part of their product mix. And we are obviously China experienced COVID like the rest of the world and virtually walked down the entire country. And so as we see things ramp up and the future growth as it relates to China, for me, we see China still has a strong, strong business. The upside for me was the growth that we saw in the rest of the markets outside of China and we’re seeing strong effect in our markets as we are experiencing these crazy times of COVID.
Doug Lane: Do you think that, I mean…
Kevin Guest: I think the other flavor for me to put there, just to go back and even though, the timing taken a little bit longer than what we’d like to see. I think our thoughts and perspective on China’s outlook is still very positive.
Doug Lane: Yes.
Kevin Guest: But we’re seeing a little bit lower kind of recovery and gaining momentum again, but we still have the same confidence we’ve had historically just taken a little bit longer.
Doug Lane: Yes, I mean just to drill down on that. Yes, we’ve seen just sort of in the general press commentary that that’s an improving macro environment and improving consumer spending environment. I would imagine some of the restrictions from the 100-day review period and the aftermath are being lifted. Is the stage set now for you to start to get back in there with more aggressive promotions and incentives to try to revitalize that sales force and try to build some traction internally versus waiting for external factors?
Kevin Guest: Yes, I would assure you that we’re not waiting. We have been very proactive and engaged in there. I think what we see with – what the individuals kind of gone through, you see a little bit higher savings rate, a little bit more caution towards kind of pursuing different things. But I think we’ve had very good discussions. We hear enthusiasm from the sales. And so we’ll continue to go back and lean on that. We’re starting to see a little bit more progress in some of the things that we’re offering up to the sales force and the consumer base.
Doug Lane: Okay, fair enough. And then just shifting gears on the margins, which my expectations is just the components are a little bit different in that, you had a little bit higher incentives for your associates, a little bit higher cost of goods, but then your SG&A was a lot lower. So I’m thinking that’s probably due to the shift this year, reaction to COVID, where you didn’t have your global convention and you substituted other kind of marketing efforts and maybe if you could just talk through how that played out in the third quarter, and how you see that going into next year?
Kevin Guest: Yes, really high level. We do see a little bit, you see the dynamics with the regions that we report on. We do see a little bit of an impact from the market sales mix that we have out there. And to what you alluded to, without a doubt, we run some of these events. We have some meaningful product sales. Many times those were down at a lower gross margin. And so we have some of that last year, not this year, so even in spite of that with some of the promotion we’ve run, we’ve seen a little bit of pressure on gross margin. But – and what you’ve seen on incentives is more surrounding the incentive offerings and incentive programs that we offered in the third quarter.
Doug Lane: Okay. And just lastly, I know it’s early days and you’re talking very high level about 2021, but are you thinking about putting on another in-person convention next year or is that still a wait and see?
Kevin Guest: Yes, I think for some of the ones that we had earlier in the year, I think we’re leaning towards virtual. For us to go back, reserve the venue, and get everything coordinated, it’s not something we can decide with a month or two left. We have to make some of these decisions well in advance. So I think real rough terms right now. No, we don’t have anything kind of written in stone. Really, the first half of the year, I think for certainty, we’ll have most of the events on a virtual and then we’ll kind of wait and evaluate and kind of see what the environment is.
Doug Lane: Okay, thanks, everybody.
Operator: Thank you. And we’ll move onto our next question, and that is from Sebastian Barbero with Jefferies. Please go ahead with your question.
Sebastian Barbero: Hi team, thanks for taking my question. I would like to go back to the China topic and wondering if you could comment to the latest update with regards to in-person meetings. Are those fully authorized now? Are you still seeing some sort of restriction? And also can you remind us – I was just going to add one more. Can you remind us the percentage of Greater China sales that come from Hong Kong?
Kevin Guest: So when it goes to the meetings, we’re still seeing restrictions in the country and that is having an effect. Of course, we’ve gone to virtual and our associates in the field are doing a very good job of hosting those meetings virtually, but it’s still not the same. And honestly, we don’t know exactly when those meetings are going to be opened up. And then there are small meetings that are happening, but you could end of those meetings 50 or 100 people or larger, they’re just not happening in China right now. And about 5% of sales in the Greater China region ballpark is coming from Hong Kong.
Sebastian Barbero: Got it. Thank you. And I was wondering if you quantify the benefit from promotions in the quarter?
Kevin Guest: Yes. As a whole, we kind of wait both kind of year-over-year basis, usually probably in that $30 million to $35 million range kind of will be a high level estimate. We definitely had fewer, but more focused and higher magnitude during the current year quarter versus kind of a higher variety in the prior year, but kind of net-net, that’s about what we estimate that we delivered from those relative to last year.
Sebastian Barbero: Got it. And my last one goes, two questions with the record earnings in the quarter. We would have expected it to be active on the buybacks and especially now, the cash balance is nearing $300 million, but how are you thinking about capital allocation? And any reason why you held back on repurchasing shares?
Kevin Guest: Yes. And so capital allocation, the story has been fairly consistent for us. Our first priority is really growing the business organically. And then we’ve been far more active at looking at deal flow, looking at opportunities outside of what we typically do whether it’s to accelerate, whether it’s to look at geographic region, a product and technology. So we’re definitely looking at an elevated level of opportunities out there. And then as far as the share repurchase, it’s something that Board, management alike are engaged in that and looking for the right opportunity. We had certain criteria that we put into place that we did quite kind of tripling those, we can go back and really do aggressive share repurchase during the quarter, but it’s something that I think the appetite and the willingness to participate and the opportunity presents itself.
Sebastian Barbero: Thank you.
Kevin Guest: Thanks, Sebastian.
Operator: Thank you. Then we’ll move onto our next question and that is from Ivan Feinseth with Tigress Financial Partners. Please go ahead with your question.
Ivan Feinseth: Thank you. Congratulations on another great quarter.
Kevin Guest: Thanks.
Ivan Feinseth: So what were some of the standout products trends that continue to drive the good results?
Kevin Guest: Yes. I think we still see relative to past years a lift in products that have been designed to support immune function, not quite, but was earlier in the year, but we still see some benefit there. China has been particularly active this year and kind of the cadence of rolling out different product offerings I think more so than we really have the history of our presence in Mainland China. So we’ve had some fairly exciting things. There are some things that will be introduced in fourth quarter as well. I think one in particular was a collagen product that’s going to be very well received, and we have several of our other markets, wanted to see if there’s some way they could have some of products. It’s one of the nice benefits we get is kind of this cross marketing and really kind of a whole process as one market has and another market doesn’t. But I think we’ve had a higher cadence of kind of product rollout and severance if you think we’re pretty optimistic about.
Ivan Feinseth: And then what kind of feedback that you get from your distributors and they’re getting from their customers as far as interests and concerns for health supplements?
Kevin Guest: Just like Doug said, I mean we – there are products out there with immunity side that have been interesting and people look at it from a demand side. I think the questions we get from the field are the same ones we’re getting on this call is when are we going to go back to in-person meetings and growing our business like we have in the past. And with COVID, it’s a question for all of us. We’re very hopeful mid next year, at this time next year, we’re getting back to something more stable from a COVID side, but those are really the big questions that come from the Associates when they look at you know our virtual meetings and virtual convention. They are excited and want to go back into those in-person meetings.
Doug Hekking: I would also add on that Ivan, I think with what we’re hearing back from the sales teams, we hear pretty good feedback and the morale of our sales force really across the world and in kind of on the trailing this – these trial incentives that we’ve been testing, we’ve heard some pretty good feedback and some excitement. So that has us pretty optimistic about some of the things that we’ve been trying out.
Ivan Feinseth: What are the virtual meetings? Are you using any specific platform that USANA sponsors or people are just using their own choices of the platforms that are pretty much out there now? And do you feel that with obviously the impact that you get and the money that you save from not having the in-person events that you could invest in a platform that becomes an extension of the company that your distributors use to engage with their customer base and marketing efforts.
Kevin Guest: I mean, it would be a possibility for us to invest in something like that. I mean the reality is our associates are gravitating to what works in their markets like Zoom, like Webex, there is a few and it’s market specific. At this point in time for us, it’s been working from a corporate side, so that looking at an investment really hasn’t been anything that we needed to do. I don’t think the platforms that we see out there right now really accessible, there’s familiarity with them and so I think we can leverage existing platforms. And I know from my perspective in sitting through that American and Europe virtual condition that we had, it was incredibly well done and we’re learning new things with every event and kind of layering that on and building toward the future. And we’ve heard a lot of good feedback as we have notes for reaching a broader audience. Sometimes that in-person products basically they have, we don’t see the same level growth into product sales and event. But in the grander scheme of things, it’s really not a big part of it.
Doug Hekking: An interesting dynamic from an events perspective that we’ve seen throughout these last few conventions is the participation of non-USANA customers and/or distributors who want to hear or learn about the company have been attending these events was traditionally they don’t because they have to fly somewhere or go somewhere. And so the accessibility to helping grow our customer count, our active customer count has been certainly additive and so from a format perspective to your question, we want to be as globally successful as possible. So for instance, with our Americas and Europe event, we had a huge number of people from China that sat in on the event and it’s happened in all events where we’re seeing people that normally would not be exposed to the information, the company, the new product launches and so forth. We are now taking advantage of technology. And so we found that for us Zoom format is very, very easy, user friendly and especially those who are part of the USANA community understand and know how to operate the functionality of Zoom. And so we’ve decided to be as mainstream as possible from a technology perspective as it relates to events. And Ivan, you had asked about the investments, we have invested in contract for Zoom, so it really is not additional cost to those wanting to log on to use the events, we make that accessible and it really applies to as Kevin mentioned, really to a broader and more global audience than it had historically.
Ivan Feinseth: And where are you in the roll out of your – on the process for your Active Nutrition line?
Kevin Guest: Yes, we’re still looking at that for early next year, and it’s going to be a global rollout. So it will be market-specific, it won’t be all at one time. Mostly due to regulations, you have to go and then register products and there is a timeframe that goes with that. So we’re excited about it. It’s moving forward. We’re working on the products that we’re going to launch and everything else. So I mean that’s going to have an impact for next [indiscernible] back next year. And I would say the environment Ivan has slowed that down just a little bit. The equipment has some special nature to it to get people out here to kind of walk you through that has been a little bit more of a challenge but I think they’ve adapted and kind of accelerated after that’s happened. So I think we’re looking pretty good.
Ivan Feinseth: And can you give us like kind of a broad idea of some of the specifics to the line based on kind of feedback or early market research that you’re doing and also how do you envision integrating this launch and these products with your large group of athletes that you have as part of your marketing or team?
Kevin Guest: From a product perspective, they all go hand in hand and the underlying vision of the company, goes into our Active Nutrition, which is a health and the health based supplementation and being additive and having healthy alternatives to what we’ve seen in the marketplace especially from an Active Nutrition. Our athletes will certainly be part of the story and they have been involved in testing products and we’ve utilized some athletes who are utilizing some of our products currently. So that will be part of the story and we see that as a competitive edge for us. Our athletes offering – and just the sheer volume of Olympic athletes and high performance athletes. So that will be part of the mix, but the target audience is really going to be the female probably ages 25 to 35 will be a target audience from a demographic perspective. But again, it all goes hand in hand and our nutritional supplements or vitamins will be part of that program and included as a holistic approach to how this will just be additive.
Ivan Feinseth: Okay. I have some specific like product and supplement questions, but I would welcome the opportunity to speak later offline to go into more detail.
Kevin Guest: Sounds good, Ivan.
Ivan Feinseth: Okay, thanks. Congratulations.
Kevin Guest: Thanks.
Operator: Thank you. There are no further questions at this time. I will turn the conference back over to Mr. Patrique Richards.
Patrique Richards: Thank you, and thank you for your questions, your participation on today’s conference call. If you have any remaining questions, please feel free to contact Investor Relations at 801-954-7961.
Operator: Thank you. This concludes today’s call. Thank you for your participation. You may now disconnect.